Operator: Ladies and gentlemen, thank you for standing by. Welcome to the TravelCenters of America Third Quarter Financial Results Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. (Operator Instructions). As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Vice President of Investor Relations, Mr. Tim Bonang. Please go ahead.
Tim Bonang: Good morning and thank you for joining us. We’ll begin today’s call with remarks from Chief Executive Officer, Tom O’Brien, followed by remarks from TA’s Chief Financial Officer, Andy Rebholz before opening up the call for questions. Today’s conference call contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and federal securities laws. These forward-looking statements are based on TA’s present beliefs and expectations as of today, November 10, 2014. TA undertakes no obligation to revise or publicly release the results of any revision to the forward-looking statements made today other than as required by law. Actual results may differ materially from those implied or included in any forward-looking statements. Additional information concerning factors that could cause our forward-looking statements not to occur is contained in our filings with the Securities and Exchange Commission. Investors are cautioned not to place undue reliance upon any forward-looking statements. The recording and retransmission of today’s conference call is strictly prohibited without the prior written consent of TA. Now I will turn the call over to Tom.
Tom O’Brien: Thank you, Tim. Good morning and thank you for joining our call today. I am here to report TA’s third quarter 2014 financial results released earlier this morning. We expect to file our Form 10-Q later today. Our third quarter results were modestly below some analysts’ predictions are I believe resounding positive. A very significant improvement in income before income taxes, which is up 32% is the result of our carefully planned and implemented mix of internal and external growth and operating initiatives that we’ve been pursuing for the past three plus years. We’ve also taken advantage of the current fuel market environment including generally declining prices for fuel during the quarter. In short, gross fuel margin, up $0.015 to $0.19 per gallon allowed us far outstrip a modest decline in demand for fuel and continue to pass on low margin business. Our improvement in non-fuel margins outstripped the growth in site level operating expenses by a 163 basis points. Third quarter 2014 EBITDAR was $97 million reflecting an 11% increase over the prior year quarter. EBITDAR was $43 million or 21% increase over the prior year quarter. Pre-tax income for the 2014 third quarter increase by $5 million or 32% over the comparable period in 2013. Although net income of $13 million reflected a $3 million decrease from the third quarter last year, that decrease is entirely the result of our income tax provision in 2014, which is not comparable to the small income tax provision in 2013 period. Andy will discuss this differences a little bit further in a minute. We generated site level operating profits the $16 million during 2014 third quarter at the 64 properties we have acquired since the beginning of 2011 which is slightly more than double the amount of the third quarter last year. For the 12-month period ended September 30, 2014, these properties generated operating profits of $48 million, an increase of $28 million over the amounts generated by those acquired sites for the 12-month period ended just a year earlier. With $370 million invested or expected to be invested in these locations in total and with the vast majority of these newer investments by number and investment dollars having occurred within the last two years, we are expecting further significant positive momentum from these sites in the year to come. Regarding recent acquisitions. During the third quarter, we acquired two travel centers for an aggregate amount of $23 million. Also our pipeline for additional potential site acquisitions has remained reasonably full. And we have purchase agreements in place, covering an additional three travel centers and seven convenient stores. While we’ve been busy successfully executing on these external growth projects, we have not lost focus on internal growth initiatives including many of which I’ve mentioned before like Reserve-It Parking, RoadSquad Connect and RoadSquad OnSite. We also remain focused on providing exceptional customer service for all of our customers but especially for our truck driving customers. Our TA and Petro brands ranged first and second in 40 categories in the recent independent annual survey of professional truck drivers. I believe that more fleet customers today than in the past think of TA and Petro as the better place to send their drivers. Many of these customers are feeling driver shortages and employee turnover more keenly than in the past and they’re increasingly pointing to the convenience, a wide array of amenities and services. And the driver hospitality at TA and Petro has benefits to drivers. And now, Andy Rebholz, Chief Financial Officer will review our third quarter results in a little more detail. After Andy’s comments, I’ll make some closing remarks and we’ll try to answer questions.
Andy Rebholz: Thanks Tom and good morning everybody. I would like to make some more detailed comments about key financial results for the 2014 third quarter. Please keep in mind that when I say same site results, I’m speaking to results at those sites we have continuously operated since the beginning of the comparable period in 2013. As Tom mentioned, we reported EBITDAR of $97.2 million for the 2014 third quarter, an increase of $9.4 million or 10.6% versus the third quarter of 2013. In the third quarter of 2014, TA generated net income of $12.8 million or $0.34 per share, a $3 million decline from the prior year quarter, when we reported net income of $15.8 million or $0.53 per share. This decline in net income is due to the change in our income tax situation began in the 2013 fourth quarter. During the fourth quarter of 2013, we reversed nearly all of the valuation allowance we historically had maintained with respect to our deferred tax assets. Under the circumstances existing in the first three quarters of 2013, amounts that now flow through the income tax provision line simply were recorded as adjustments to the valuation allowance. Now that it has become apparent, the TA will in fact use its tax loss carry-forwards. We have to impact our reported earnings under GAAP even as we use these tax losses to reduce our cash tax payments. On the same site basis, our 2014 third quarter fuel gross margin was $3.2 million or 3.5% more than in the comparable 2013 quarter. Our per gallon fuel gross margin increased by 7.8% on a same site basis, but this improvement was offset somewhat by decline in our same site fuel sales volume that we believe reflects both continued conservation efforts by our customers, as well as our decisions to avoid certain lower margin fuel sales. Our non-fuel revenue on a same site basis during the 2014 third quarter increased by $14 million or about 3.6% versus the 2013 third quarter. We believe that the increase in same site non-fuel sales reflects the impact of our various customer service initiatives at our existing sites. Our non-fuel gross margin as a percentage of non-fuel sales on a same site basis increased by 50 basis points over the prior year quarter to 54.8% in the 2014 third quarter. We believe that this increase is largely attributable to a modest shift in the mix of our non-fuel products and services sold. Our site level operating expenses on a same site basis for the 2014 third quarter increased by $5 million or 2.6% versus the 2013 third quarter. This increase reflects the higher volume of sales in the 2014 quarter, the ratio of operating expenses to non-fuel revenues in the 2014 third quarter of 49.7% improved by 50 basis points from the 2013 quarter. Our selling, general and administrative costs of $26.9 million for the third quarter of 2014 increased by $3.2 million over the 2013 third quarter. This increase reflects increased personnel costs due to headcount increases and annual salary adjustments including increased share-based compensation, which has resulted from increases in our share price, as well as increased costs incurred with respect to our accounting and reporting processes. Our income tax provision reflects the effective tax rate we expect for the full year of 2014 of 41.7%. And now I’ll turn the call back over to Tom.
Tom O’Brien: Thanks Andy. I hope those listening are as pleased as I am with our solid results for the third quarter of 2014. I am confident we can continue to grow our profitability and shareholder value over the long-term with the investments we’re continuing to make in our business. And Andy and I will now take your questions. Operator?
Operator: Thank you. (Operator Instructions). Your first question comes from the line of Ben Brownlow from Raymond James. Please go ahead.
Ben Brownlow: Hey, good morning. Thanks for taking the question.
Tom O’Brien: Hey Ben.
Ben Brownlow: Can you give us some color on or an update on the convenient store acquisitions, I know you have seven in the pipeline, but when will those finalize and location and kind of sales mix, just any color on that?
Tom O’Brien: Yes. They’re fairly close to the 31 that we acquired geographically. And we hope to close that January, February next year. They are likely to acquire a little bit of rebranding, but they are not sort of major repositioning, so more towards what we acquired in December of last year.
Ben Brownlow: And then they have a pretty decent [food] service mix or…
Tom O’Brien: Yes. They are on the larger side. And I think there are enhancements that we can make, but there are sort of right up around.
Ben Brownlow: And then when you look at the same site, on the same site basis, what is driving that non-fuel gross margin higher? Is it a mix shift towards the truck repair facilities or is it just some color there?
Tom O’Brien: Sure. You’ve got to recognize that the same sites are the sites that were open for all of the periods presented. And so, the first two layers of when we talk about the acquisitions we’ve made since 2011, the first two layers of 2011 and 2012 are actually included in same sites. I think in part a lot of what you’re seeing is the maturity of those sites is driving that a little bit sort of out of proportion with the rest of it. Do you follow me?
Ben Brownlow: Yes, that’s helpful. Great. Thank you guys.
Tom O’Brien: Okay.
Operator: (Operator Instructions). Next, we’ll go to the line of Bryan Maher from Craig-Hallum Capital. Please go ahead.
Bryan Maher: Good morning guys.
Tom O’Brien: Hi.
Bryan Maher: So, if we just drill down on that a little bit further, can you talk about the non-fuel margins at the Minit Marts and the C-store business in general and what we should be expecting there? And if those are lower margins in the 40s as opposed to the 50s we’ve gone accustomed to, should we be thinking about non-fuel margins as kind of 54% plus or minus 50 bps as opposed to 55% plus or minus 50 bps?
Andy Rebholz: Yes, I think on the lower side. The mix is going to be impacted so long as we’re presenting stuff together that is C-stores and truck service. And because the significant component of the cost structure on truck service is labor, so we have labor sales and labors and operating expenses. So, you’re right to point that out.
Bryan Maher: So as you fold more C-stores into the mix, we should expect some minor overall degradation to non-fuel margins as a total company, not necessarily on a same-store basis?
Andy Rebholz: That’s correct.
Bryan Maher: Okay. And then on site level operating expenses. Can you tell us kind of how you think about that? Some of this is modeled as a percentage of fuel revenues, but that kind of gets a little bit prone in the mix and messed up when you have the cost of fuel, the wholesale retail level declining materially, it kind of screws off that number a little bit. Can you kind of walk us through how you think about that as a year-over-year plus or as a percentage of revenues of some kind, how do you think about that?
Tom O’Brien: Yes. When I think thing about it obviously, mostly what I think about is two things. One, I think about it obviously going forward, right? And so, our goal is always and consistently on that measure is to have gross non-fuel margins outpace the site level operating expenses growth. If you want to think about it as a percentage, you got to look at it as a percentage of non-fuel revenue. Those two things together that’s how we look at. And on operating expenses like I said before includes labor for truck service and we sell that. Operating expenses include labor for restaurants. Most folks in the restaurant business will tell you, you can’t sell more, if you don’t have more servers for example. And so modeling it on any -- really the way to look at it as a percentage of non-fuel revenue but no debt and we’ve been pretty consistent in terms of how far we’ve outpaced that growth in non-fuel margin. I am sorry let me back out, the growth in non-fuel margin, the goal is to grow that faster than non-fuel -- excuse me, site level operating expenses.
Bryan Maher: Okay. And then just one last question, because we get asked about this a lot.
Tom O’Brien: Yes.
Bryan Maher: You’ve really had some impressive gains on a gross profit per gallon sold year-over-year. As you think about it and as you see the operating environment and in conjunction with gas prices being lower, what is your outlook for that?
Tom O’Brien: I’ve got to think about that in terms of the couple of things. One, the third quarter we’ve seen third quarter this year generally declining the commodity prices and that’s in contrast with third quarter last year where they were generally speaking increasing. And so that may explain the impact when we see $0.191 a gallon for this third quarter and $0.176 a gallon last year third quarter. And that’s the commodity piece of the underlying cost structure piece of it. From the demand side and the retail sales as well as the business-to-business sales, I think I don’t feel that the environment is changing versus what it has been in the last say 6 or 12 months. That is to say, it’s still pretty competitive, particularly on the retail side and then it’s also competitive on the business to business side. We’ve taken an approach that we don’t need to take on a lower margin business. And that approach has been okay. And so, when you’re not forced to chase those things, I think that tells you something about that environment.
Bryan Maher: And then just one last thing and I’ll [yield], with gas prices coming down, we know there was a big move towards more and more efficient trucks and truckers and fleets were paying off for the more efficient engine. With the gas prices declining materially, do you see or anticipate those expenditures waning and thus more of a stabilization or possible increase with the improvement in economy of the fuel volumes?
Tom O’Brien: I think a little bit on the margin, but I think that the fuel is such a significant element of our customers’ cost structure and still much focus has been brought upon it over the last few years as fuel prices. A few years ago, even where we are today that have been a high number. I don’t see our customers really letting up on fuel efficiency. And again maybe on the margin, because you’ve got to move as a trade-off and so you want to spend a little more to buy a more efficient truck. You’re doing this to get cost savings. To the extent, those cost savings are now a little bit less, it may tend to be a little less aggressive in that pursuit. But I don’t see the recent changes in fuel prices really shutting that down on a wholesale basis at all.
Bryan Maher: Thanks Tom.
Tom O’Brien: Thank you, Bryan.
Operator: Your next question comes from the line of Alvin Concepcion from Citi. Please go ahead.
Alvin Concepcion: Hi, good morning.
Tom O’Brien: Hey Alvin.
Alvin Concepcion: Just to get back off of that fuel margin question, the $0.191 this quarter. Maybe asking a different way, have you seen any changes to that in October and November to-date? And then secondly, what’s your take on balancing those lower fuel margins with the attractive margin going forward. Are you comfortable with what’s going on right now?
Tom O’Brien: I think that well, obviously we don’t provide guidance. Everything changes month-to-month and so you should expect fourth quarter would be different than third quarter, but the general environment isn’t different. I think that answers the first part of your question. Why don’t you repeat the second part so I don’t screw it up, go ahead Alvin.
Alvin Concepcion: Yes sure. It’s in regards to the -- you talked about focus on maintaining an attractive margin. You’re not going to chase some of this lower margin fuel business. I mean are you comfortable with what’s happening now with that trade-off between lower fuel volumes and other better margins you’re seeing?
Tom O’Brien: Yes. And thank you for repeating. I am comfortable with that. I think that we’re in environment where we get to look at everything that we see, we get to make an evaluation on an economic basis and it generally feels very black and white and there is no -- I don’t feel any sense of having to do something for optics as opposed to economics. So, it feels pretty good to me.
Alvin Concepcion: Good to hear. And just another question on the non-fuel revenue, on a same site basis revenues were up (inaudible) driven by mix or I mean was that I guess what I’m wondering is if traffic was down year-over-year, is that a fair assumption and therefore you were able to grow because mix was very favorable or was traffic up?
Tom O’Brien: Well, obviously fuel volume as we see is down a little bit, but customer traffic has tended to go up. Frankly, we’ve done better in capturing traffic inside the store than outside the store. Not to say that the fuel, I’m not underlining our performance in fuel, because as I said, a lot of that’s chosen. But I think that is testament to a couple of things. One, internal growth initiatives that we have to the extent that we’ve added categories and services, that obviously has an impact on the top-line that’s outsized compared to a year-over-year comparison from pricing or what have you. And the other thing is to -- I think that my general feel is that the things that TA and Petro are offering in terms of customer satisfaction, amenities, the efficiency that drivers can garner by using our larger sites with a wide array of services versus sites that maybe smaller, have less parking, have limited array, I think all of our non-fuel offering has driven customers inside; in some cases, even if they’re non-fuel customers. And so I think you’re seeing a mix of all of those things. And together, it’s a pretty formidable combination.
Alvin Concepcion: Thanks for the color.
Tom O’Brien: Okay.
Operator: Your next question comes from the line of John Lawrence from Stephens. Please go ahead.
Ben Bienvenu: Hi, good morning. This is actually Ben Bienvenu on for John.
Tom O’Brien: Hi Ben.
Ben Bienvenu: How are you?
Tom O’Brien: Good.
Ben Bienvenu: So, maybe asking about those fuel comp in a little bit different way. In the quarter, the down 4.5%, what impact do you think the pricing decisions had on that number and what do you think is sort of a normalized run rate type number or an industry type number in terms of overall consumption trends?
Tom O’Brien: I think I’ve been -- I think you can think of the demand for a given level of economic activity for fuel to be just around the vein, largely due to efficiency. And I feel like and this is a not a science, but I feel like that number is around 3%. And so, what you’ve got leftover is our decisions to pass or in some cases, call lower margin business offset by the new business we’ve been able to drive.
Ben Bienvenu: Great. Thanks.
Tom O’Brien: That’s the breakdown.
Ben Bienvenu: That’s helpful. Secondly, as it relates to Greenfield site development, I know you guys have two sites sort of in the Q for potential development either late this year or next year. Can you provide any update to timing as a potential those two sites?
Tom O’Brien: We started one site in Texas and I suspect that will be done in the second half of next year. And we’ve got actually three sites -- excuse me, three in total, but one in Texas, plus two others. They are on the joint board. And I expect those will begin in 2015; it sort of depends on the local authorities or whether we’ll actually be able to get them done in 2015 or whether that will spill onto ‘16. I feel very excited about development potential in the locations.
Ben Bienvenu: Great, thanks. And then just lastly, as it relates to acquisitions, has there anything changed related to the valuation environment and maybe there is conversely -- or there needs to be a split between C-stores and travel centers. But maybe if you could give us a sense of trends related to pricing?
Tom O’Brien: It looks that things that we’ve got in the pipeline and the things that we’re looking at, there hasn’t been significant change versus what we have been able to accomplish in the past. Now, I think there has been and you talked a little bit about this in the second quarter call, I’m not sure you were on, but there has obviously been a lot of excitement in the C-store business, some fairly high prices. But I think mostly that’s reflective of the strategic kinds of acquisitions. I think that may benefit a very large platform versus the sort of bolting on regular business. And my sense is that that’s caused some excitement in the on the seller side of the equation and frankly a little bit on the buyer side but not this buyer. So, we’re happy to be in the Truck Stop business. We’re happy to find adjacent acquisitions in the C-store business, so long as they need our criteria of reasonable chance of returning something in excess of our opportunity cost. And that’s the way we look at it. And that’s within the pipeline.
Ben Bienvenu: Okay, great. Thanks so much. Best of luck.
Tom O’Brien: Okay, thanks a lot.
Operator: And at this time, there are no further questions. I’d like to turn the call back to Tom O’Brien.
Tom O’Brien: Okay, I just want to thank everybody for joining in today and we’ll talk to you after the next quarter.
Operator: Ladies and gentlemen, that does conclude your conference for today. Thank you for your participation and for using AT&T Executive Teleconference. You may now disconnect.